Operator: Welcome to the African Rainbow Minerals Results for the Financial Year Ended 30 June 2025. Thank you to those of us -- those of you joining us online via LinkedIn and a special thank you to those who have made an effort to be here with us in person. After the presentation, we will go into Q&A. We will start with questions from the floor, and then we will move on to webcast. Please help me in welcoming ARM's Executive Chairman, Dr. Patrice Motsepe.
Patrice Motsepe: Thank you so very much. This is going to be a very brief presentation to allow as many questions as possible. I want to thank everybody and the very special thanks to our Nonexecutive Directors, our Chairman of Audit, Tom Boardman. Tom is online? He is online, okay? And our Lead Independent, Dr. Noko and the Chairman of Investments, Bongani, thank you so much, [indiscernible] and the whole of the Board members who are joining us. And also a special thanks to Phillip. Very proud of the good work you're doing and Tsu and Andre, [ Marek, Kajal ], everybody else, I see Johan [Mike ]. Mike is [indiscernible], thank you so much. And to the rest of the management team. We are in an industry that goes through ups and downs and I'm very clear in my expectations. I always want us to be the best at all times because we are judged by our results consistently. And the management feels that they need to give me all sorts of explanations why headline earnings are down because the abnormal impact of -- where is Jacques and Imrhan, yes, you can, good Imrhan and everybody relax [indiscernible] so they -- and Thabang as well, of course, she's doing all the good work. [Indiscernible] Thank you so much. Doing all the good work to engage with our shareholders. And thanks to all the shareholders who are here and everybody else. So it's very, very fundamental for us that despite what the commodity prices are doing, which is something that we don't control and despite what the rand is doing, which as well is something we do not control, we have to consistently, consistently based on results, be very competitive because the results at the end of the day, you are judged by your results And no matter how it justified the explanations because the facts are what are we doing with our volumes, what are we doing with our production, what are we doing with our profitability? And very importantly, what are we doing with our dividends because part of our commitment is to be a consistent dividend payer. And I really want to apologize for the late trading statement because I come from a very conservative background, particularly when you know that there are issues that you want the market to be aware of as quickly and as soon as possible. And do all of these explanations in terms of the discussions relating to Bokoni and there'll be -- we will be going on a roadshow to have detailed questions because I know many of the shareholders say that they prefer to ask some of these questions in a one-on-one, and that's very, very important because we have a huge obligation to, at all times, keep our shareholders and the market informed with what is happening. And sometimes, you have to focus a little bit more on the bad news and get it out. And the bad news being the prices, the prices, I mean, if you look at Bokoni, Bokoni is world-class and Bokoni will make good money for us. And the performances in ARM Ferrous and in the various other commodities that we have, I'm told that Sandra is here, where is Sandra? [indiscernible]. You look as young as you've always done Sandra. I knew Sandra many years ago. I was with Sim a few days ago, and I can't say what Sim said over the phone -- not over the phone, sorry, over the -- in public because Sim was a young smart, loyal [indiscernible], Sim Tshabalala, the CEO of Standard Bank. But good to see you, and thank you so much for coming and passing my regards to everybody at [indiscernible] to [ Patrick ] and [ Des ] and to all our other partners who are here. Thank you so much for your contributions. Now what we usually do is we take questions, and we'll take questions at the end. And the management team will stay behind. And there'll be a roadshow and in the roadshow, some of our big shareholders and some of our smaller shareholders, all shareholders are import, whether you've got 1 share or whether you've got 1 million shares, we've got a fundamental obligation to you. And often the ones who've got 1 share, they need a dividend. And we've got a huge obligation to make sure that they don't have to buy all the share. They can buy many other shares, but we have to consistently give them a convincing reason and try and make them believe based on our track record and what we do that it's good for them to remain being a shareholder. The rest of the team will do a little bit more of a detailed presentation on some of the issues that I will discuss very briefly and the issues that I will discuss broadly, okay? So the headline earnings for this financial year, the past one decreased by 47% to ZAR 2.7 billion, as I said, mainly due to the decrease in the prices of iron ore and the increased cost at Bokoni. And Phillip will give a little bit more details on Bokoni. We declared a dividend of ZAR 6 per share. We are a consistent and committed dividend player. Our financial position remains very good, robust. We've got a net cash of ZAR 6.6 billion. And you will see that, we've had discussions with our partners. There's about ZAR 9.5 billion free cash flow in Assmang and we've been in discussions with our partners to make sure that the dividend is a dividend that's good for them and good for us. And those -- it's good that to have such a strong balance sheet and to have a significant amount of -- the attributable to is ZAR 4.5 billion, more or less, ZAR 4.5 billion as we stand right now, okay. Okay. All right. We go to the next one. And I like it when there are women in the photos. They make the photos look much smarter. And they perform at some of our operations, the best drivers of these big underground trucks the women anyway, good. And you will see that the headline earnings, ARM Ferrous decreased by 31% to ZAR 3.5 billion. ARM Platinum decreased by 42%. Now this is as at the end of June, you saw that the price of PGMs have risen significantly, which is good. So we expect that in terms of -- in the medium term, we expect that the prices will more or less stay in this positive trend. And then ARM Coal went down by 88%. So this is the sort of industry we're in, and there are times when things are very positive and you've got a super cycle and we've got a huge amount of excess cash and you take that cash, this is where the ZAR 6.6 billion comes from. Put it aside for times when there are challenges and when there are challenges, that's when you grow. That's when you make deals and that's when create opportunities for partnerships because when everybody makes money, it's not a good environment. So you have to make sure that the ZAR 6.6 billion as well as the attributable ZAR 4.5 billion at Assmang and our ZAR 6.6 in particular, you keep your powder dry and positioned for growth. We've given everybody a copy of the booklet, so I'm not going to go into greater detail because you can see what is contained in the booklet and just ask whatever questions. Now if you look at our dividends per share, you look at 2022 very well. You look at 2021, 2023, you look at 2024. And then if you go backwards before 2020, you will see this continuous cycle. There are times of good performance and your management has to focus 100%. It's not what we say, it's what we do. And what we do is reflected in our results. And we are unforgiving and unrelenting and uncompromising, [Foreign Language] and of course, [ Alison ] says, why don't I say hi to her, "Hi [Alison ]." So -- and [ Busi ] as well, of course, and everybody else. I always get into trouble, why do you identify others and don't. So you see where the dividends are, and we've kept this policy, this principle that the aim is always to make sure that the second half of the year that we maintain that process of an increase, even though in 2023, the first half was higher than the second half. Dividends received went down by 10% to 4.5% and the dividends received from the investment in Harmony. I'm always surprised when shareholders who've been with us for many, many years, say, yes, but if we -- Dr. Motsepe, if we look at the name Harmony, we see the ARM logo there because those of us who were there in the beginning have a key understanding that Harmony is a merger between ARM Gold and Harmony. And at the time, there were all of these discussions, are we going to call Harmony an ARM Gold or Harmony Gold, ARM Gold as it is. Let's just call it Harmony, but in the logo, leave the ARM. And some shareholders say we want to talk to you about ARM. And then they say, no, no, we have a clear understanding of what the plans are. We're as confident as we've always been. And we've been in this company for many years. We don't just invest in ARM. We invest in various other companies. We understand the mining industry. It's this Harmony that we want your thinking as a partner.. I'm not -- we are not the executive. [Foreign Language] I'm not the executives say Chairman, hold on, ARM and you, in particular, over the last 20 years have provided a huge amount of confidence and stability and a huge amount of the success in Harmony is because of the excellent leadership that has been provided at the Board and the role that the Chairman and various -- so they give us and they give me -- and I can say that a little bit more credit than we deserve because I'm proud of what [ Bayer ] is doing, and I'm proud of what [ Massimulla ] is doing and the team. But as I said -- and thank you, Bongani for the excellent work that you are doing there as well. So Harmony is doing well. And our strategy in relation to Harmony, we said it and it stays the same and we'll continue along those lines. And as I said, you must ask whatever questions you want and our primary concern is at all times to do what's in the best interest of ARM shareholders. Segmental EBITDA split by commodity. It's there for everybody to see significant segmental EBITDA contribution from iron ore. Iron ore is very important. Many, many years ago, we said we want the other minerals and the other portfolio assets we have to significantly contribute to earnings and to growth and to dividends without the Ferrous decreasing. And you saw that there were 2 years where we were laughing with Andre. Andre, when the Platinum was contributing more than -- more than ARM Ferrous. And Andre said, we'll fix that because what is part of the plan. And you will see that we've looked at copper in Canada. We are engaged in discussions in South Africa and worldwide to identify the appropriate opportunities because this is the mining industry. You've got to think 3, 5, 7, 10 years. And the problem with copper, in particular, is that because it's a commodity that is in so much demand, the prices are exorbitant, and you've got to be careful because you can overpay. But we are confident that in the medium to long term, we will continue to grow ARM. And the performance of ARM in the first instance is -- and the assessment is by our shareholders. Just put aside what we are saying, we say what we have to. But what is more important is to hear what the shareholders are saying as well as the investment community and the market. And as I said, what I at times want to focus on is those areas where the market is saying that there are areas of weakness, there are areas where there can be improvements. Those are the things we focus on because it's important for us that we take account of that and consistently show positive results. We may not always agree, but the starting point is to get exposed. And safety and health, critically, critically important. I think I want you just to go into a little bit more detail because we are spending so much time at our operations and you and Mike and the team and Andre, you guys and Thando and Johan do excellent work. Safety is a critical, critical part of our operations. We've got a huge, huge obligation and commitment to every one of the employees that we have the privilege to work with. And we cannot do more than enough to make sure that there's 0 harm and 0 fatalities. Responsible environmental management. We are committed to climate protection and people talk about climate change. Our strategy is we are a responsible company globally that has a huge obligation to nature, to conservation, to the environment. And we do -- in relation to coal, in particular, we fully support this process of the just transition. But we are part of the ICMM, which is the largest and the most successful mining companies in the world. And it's a privilege to be there because I stood there with the top CEOs in the world, and you get exposed to the huge commitment. We have to deliver competitive returns to our shareholders consistently. And side-by-side with that, we've got to be a responsible miner that is aware of the obligations we have to our communities in the first instance, but also to rehabilitation, the areas where our mines are and contribute towards the reduction in global emissions, okay? My apologies. And then the ARM Strategy, we've spoken about that many times in the past. We've own operator. We've got an entrepreneurial management. We invest in our employees. We partner with communities and other stakeholders, critically important. Partly why we've been so successful in Bokoni despite the challenges, why we've been so successful in Modikwa and in various other operations is just the huge amount of trust that we've built with the communities. I will be visiting Khumani next week, Monday, on the 16th or something. I'll be visiting Khumani. I used to spend a lot of time visiting our operations and sometimes the management complained and said, every time you come, the workers demand even more money and the communities demand even more jobs and demand even more tenders. And it just -- please can you just come as little as possible. And then because we meet, we work with all of these communities through the Modikwa Foundation and also through the good work that African Rainbow Minerals is doing through the trust and various other deep, deep obligations and commitments we have to the communities where we operate, but also a deep obligation to the country and the people of this country, okay? I'm now going to ask that we clap hands to our young CEO who's going to come and continue with the operational review. Phillip?
Phillip Tobias: Welcome to everyone, those who are attending in person and online. Thank you very much, Chair, and also to our nonexecutive directors in attendance, our joint venture partners, the executive team and the operational management at large. Despite the tough market and operating environment, we were able to achieve the following: Production volumes at our iron ore and manganese operations increased by 3% and 4%, respectively. Underpinned by improved water supply at Khumani, also addressing the critical skills shortage and ore qualities at Black Rock Mine. You'll remember that during the financial year, those were identified as challenges in that mine. And pleased to say we have really got ahead of the action plan to turn that operation around. Despite the facility and excessive rain in the first half of the year at Modikwa, production in the second half increased, resulting in an overall improvement of 1% on the tonnages that were produced. And that really continued to remind us that safety is our license to mine and that a safe mine is a productive and a profitable mine. Over the past 12 months, we have faced numerous challenges, including low commodity prices, a weaker dollar and logistic constraint. Cost containment remains a key focus and progress is reflected in our divisional unit cost performance, basically continue to emphasize about those things that are within our control. Given the volatile PGM market, we took a prudent decision to stop the Early Ounces at Bokoni and suspend the ore and mining and milling at the operation by the end of the financial year, and I will deliver it as we proceed. We remain focused on enhancing quality, making sure that we improve grade, that we basically mine to reserve grade and that we reduce waste and dilution. ARM Ferrous headline earnings were 1% lower, driven by a 15% reduction in the USD price. That was partially offset by 120% increase in headline earnings in the Manganese Division as a result of additional volume performance and also cost control. Higher headline earnings in the Manganese Division were driven by an increase in Manganese ore sales, volumes and also by prices. And then just going back, sorry, on that as well, just talking to the ARM Platinum, the PGM sector basically had losses increased by 42% due to higher operational losses at Bokoni. And I basically mentioned the issue of Early Ounces Project. In the Financial year 2025, Bokoni ramped up its operation. However, it was negatively impacted by operational challenges, higher fixed costs with Early Ounces production and increased mechanized development. What does the Early Ounces production mean? When we took over, we identified an opportunity at the back of the higher PGM basket prices to recommission and restart the 60-kilotonne UG2 concentrator and also to utilize and explore all the raise lines that were actually left hold by previous owners. To that effect, we employed the services of a contracting company because it was going to be a short-term measure. However, because of the shallowness of the ore body, there has been some several challenges that were actually achieved that we actually experienced. I mean, we've had issues of key blocks because of lack of horizontal clamping forces and other operational challenges. I mean, to that effect, a lot of interventions were actually put together to a point of expediting and accelerating the open pit mining. Unfortunately, also there were some other challenges that were experienced in that. And to that effect, we ended up really making a decision to really put a stop on that mining and milling and then focus on the ore reserve development to open up the ore body to at least 120,000 tonnes per month from Middelpunt Hill and to make sure that we set that mine up even as we have already mentioned. On the ARM Coal, the earnings declined by 88%, driven by a reduction in the realized coal price as well as lower sales volumes from GGV and PCB. Just giving color to our headline earnings variance analysis, I mean, if you look at this, what stands out really is almost approximately ZAR 1.6 billion just from the Ferrous division. Had we not really done anything, I mean, the major impact was coming from our lower iron ore prices and also the stronger rand exchange rate. Had we not done anything, I mean, we would have really lost 1.75 just from the dollar price, ZAR 450 million from the exchange rate amounting to ZAR 2.1 billion. But that being the case, the operations basically responded positively by increasing the volumes at Black Rock and also by increasing the sales tonnages and also focusing also on costs. As I said, things that were within and are still within our control. In terms of the EBITDA margin slide, it actually decreased across the board, except in the manganese ore operations where we saw a 4% improvement. Looking at the segment results variance analysis, very evident if you -- when you look at the top left, that impact of price, you can see the positive contribution from the volumes and also a positive contribution as well from others, which spoke to the issues of cost and as I said, increase of volumes as well. Total iron ore sales decreased by 15%, driven by lower offtake at Beeshoek. I mean, all of us will remember that AMSA did announce in October 2024 that they will be shutting down a Newcastle. That is where we had some negative impact in terms of our deliveries on that. The unit cash cost at Black Rock increased by 9% due to inflationary cost increases, higher labor headcount due to filling the key production vacancies because we did talk to the skills shortages previously, so we were really deliberate and intentional in terms of addressing that and also higher run of mine volumes. Just zeroing in on our iron ore business, the Chairman said he will be visiting Khumani. Khumani is still our Tier 1 asset with more than 20 years of life remaining, high grade and low strip ratio with an installed capacity of over 14 million tonnes. World-class safety stats at our Ferrous operations, both Khumani and Beeshoek are 6 years fatal-free. Total iron ore production volumes increased by 3% due to improved water situation. You remember that we did mention that this has been an ongoing thing, but we're pleased to mention that during the second half of the financial year, we didn't experience any water challenges because of measures and actions that we actually put in place. Khumani's mine unit cost increased marginally by 1%. Inflationary increases were offset by lower diesel prices and higher mining production. However, the biggest risk to our iron ore business includes, among others, the short life of Beeshoek because of our local customer. So given that, because we don't have any long-term offtake agreement at this point in time and also due to the status of that, we have actually taken a step to really wind down that business. So that effect, the Section 189 has already been issued, and that will impact a number of colleagues as we wind down that business. With regard to Black Rock, it's a high-grade, low-impurity long-life ore body with an installed capacity of 4.5 million tonnes per annum. Production volumes at Black Rock increased by 4% as a result of addressing the ore quality issues and the requisite skill set. Production was negatively impacted by the stoppage following the fall of ground fatality in April and also that loud message that safety is our license to operate and a safe mine is a productive and profitable. So we are taking the learnings and making sure that we can really turn things around and continue to really maintain that lead that we have really provided within the industry. Local sales volumes were higher due to increased uptake from our local customer. Various cost-saving initiatives are ongoing to ensure that the unit costs are contained. The objective is to make sure that we are in the right quartile of the industry cost curve so that we increase our margins and have sustainable profitability. Total capital expenditure for the Manganese ore operations decreased by 27% due to consistent effort to preserve cash given the low market prices. Reminding you that when we started the financial year, the prices were as high as $9 per dmtu, and we have really seen them really go even below $4 per dmtu.. In terms of the alloys, the high-carbon manganese alloy unit cash cost at Sakura decreased by 12%, mainly due to a 23% increase in iron ore prices -- in manganese prices and a 25% decrease in reductant prices. Cash cost and finances efficiencies were well managed despite the above inflation increases on inputs like your power and input materials. As part of our strategic restructuring, we have made difficult but necessary decisions to address underperforming and loss-making operations by closing Cato Ridge, and most of you would have heard and seen that announcement and disposing of our investment in Sakura as well as recently initiating, as we mentioned, Section 189 on the Beeshoek, dealing decisively with loss-making asset. By strategically disposing of Cato Ridge and Sakura, we avoided additional losses amounting to hundreds of millions for ARM, which would have negatively impacted our profitability and cash flows and we can now focus and allocate corporate resources towards our high potential core assets at our Khumani and Black Rock mines, thereby strengthening our overall financial position and paving the way for the future growth. Production at Cato Ridge ceased at the end of May, employees exited by the end of August. Now we are focusing on selling the final stocks, closure, responsible closure and rehabilitation. By doing so, we are repositioning ARM to be a more agile, profitable and better aligned with our long-term vision for success. And I'm confident that these steps will drive sustainable value for our shareholders and position us strongly for future achievement. Moving into the Platinum business, the U.S. dollar PGM prices recovered towards the latter part of financial year 2025 compared to the prices achieved in financial year 2024. The average prices in 2025 for platinum and rhodium were raised in 6% and 8%, respectively. However, the average palladium price declined by 8% when compared to the previous year. The bucket price was flat with an only 1% increase on year-on-year. Looking at Two Rivers Platinum, the unit cash cost increased by 5% due to marginally lower production, partially offset by cost-saving initiatives. Mining through very high geological disturbed areas called for increased mining on our waste redevelopment meters, thus also adding costs that were not foreseen. Coming down to Modikwa Platinum mine, the unit cash costs were up 3%, mainly due to marginally lower PGM ounces production and partially offset by cost-cutting initiatives. Production volumes were marginally down at both Modikwa at minus 3% and Two Rivers at minus 1% year-on-year comparatively. Capital expenditure decreased by 68% to ZAR 2 billion due to considered effort to preserve cash. And you'll remember that in the previous year, I mean, that was really the year when we made a decision to really stop the Two Rivers and Merensky project and put it on care maintenance. Subsequent to that, we only saw a very small portion of that CapEx coming into 2025. We remain focused on creating mining flexibility, especially for both Two Rivers and Modikwa, making sure that we create an enabling environment. We continue to focus on grade improvement, cost optimization and increased volumes, which will have a positive impact on our unit cash cost. We continue to focus on factors within our control. Maybe just giving an update on Bokoni mine, 4 things that I would really like to cover, just expansate on the superiority of that mineral resource. I mean, this UG2 resource at a grade of 6.18 is the highest and is relatively attractive and also the relatively attractive purchase of concentrate that we have for 23 years is basically the foundation to establish a mining operation with sufficient economies of scale. 60 kilotonnes didn't have that sufficient scale. High fixed cost, low volumes. And as a result, we ended up really being loss-making. So the investment thesis that we have at ARM is on developing a large mechanized mining operation that can unlock economies of scale and deliver competitive ramp per tonne operating costs. In terms of the Early Ounce Project, as I already mentioned, this was approved in 2023. And then with the intent to put it as a precursor towards the bigger picture, we believe that the minimum optimal size for Bokoni is 240,000 tonnes per month, in line with Modikwa, in line with where we started even with Two Rivers. So the disciplined deferral, taking into account the performance of the market and the outlook and also the PGM sector, we actually had to take a decision to defer the full implementation of that 240,000. And as a result, the 60 kilotonnes could not really deliver the economic of scale, resulting in the suspension of mining and milling at the end of the financial year. What are we doing now? We are assessing a phased development strategy, as I said, to open up the ore body, especially at Middelpunt Hill decline, thus setting it up for a phased approach towards the 240 kiloton. An update on Nkomati. We did mention that we have really entered into a sale transaction with our partners. That was actually concluded. All conditions precedent were met by the end of July. And as a result, we are now the sole owners of Nkomati. What does Nkomati bring to the table? It's an only proven nickel resource in South Africa. Its sulfide polymetallic reserve base and established infrastructure provides several relatively low capital-intensive value-enhancing options for ARM, which are currently being considered. And what are we doing at this point in time? We have just wet commissioned the chrome washing plant with an intent to treat the stockpiles amounting to about 500,000 tonnes over the next 12 months, whilst we're basically mitigating the [indiscernible] maintenance costs so that we can reduce the cash calls from the center that every business unit needs to stand on its own feet. Moving on to ARM Coal. GGV's average received export price declined by 8% to $82 a tonne, whilst PCB's average received export price also declined by 12% to USD 75 a tonne. Regarding the next one, with regard to -- due to the decrease in the coal price, trucking was significantly reduced in the financial year 2025 because previous years, we actually had to bring in the trucking but this year, because of the price being where it was, it was actually not economically viable to really truck. So as a result, that decision was made to stop that, and that resulted in the reduction in the export sales volume. On mine unit production costs at GGV increased by 14% as a direct result of the reduced saleable production and reduced capitalization of box cut. Unit price at PCB increased only by 5% as cost-saving initiatives reduced the impact of inflationary cost increases. Our investment in Surge Copper, I mean, we've announced that we took a 15% stake in this high-quality copper deposit, porphyry deposit that has actually molybdenum and silver in it. And the early indications with the progress of the studies where they are now is that Berg has the potential to become a Tier 1 asset, combining competitive C1 cash cost and capital intensity with the advantages of operating in a well-established mining jurisdiction. Given Surge's strong progress on its feasibility study, which remains on track for the completion in 2026, ARM is in the process of increasing its equity stake in Surge to 19.9% and securing a position on the Surge Board and starting to really have the meaningful input in terms of the direction that this project is going to take. ARM will continue to closely monitor progress and evaluate current and future involvement in Surge. In addition to its substantial copper endowment, the Berg project is uniquely positioned to benefit from its polymetallic resource base with significant molybdenum and silver byproducts included in the measured and indicated mineral resources, estimated at 633 million pounds and 150 million ounces, respectively. With positive trends and strong demand outlook for its byproduct, molybdenum and silver, the Berg is expected to realize substantial byproduct credits, which will contribute to industry-leading C1 cash cost when calculated by net of byproduct. The Chairman has already spoken about our strategic investment in Harmony. Harmony is currently in a strong financial position with a net cash balance to pursue its growth ambitions. ARM will continue to evaluate all options relating to its strategic investment in Harmony with the objective of unlocking and creating value for ARM, its shareholders and stakeholders. Many of you would have really seen the announcement of the Harmony collar hedge that we entered into, I mean that ARM implemented a hedging collar transaction involving 18 million shares in Harmony Gold, representing 24% of our equity in Harmony. The collar and related arrangement provide ARM with access to funding in the future of efficient terms if and when required for its strategic objectives while allowing ARM to retain further upside exposure to the Harmony share price up if that are not on the subject to call. The put option has strike price of ZAR 234.85 per share, while the call option is actually at ZAR 562.40 per share. What have we been doing? I mean, when we saw an opportunity to really create value for and unlock value for shareholders, we went into a mode of a share buyback activity. And to that effect, we can confirm that we really bought shares to an amount of ZAR 500 million, thus really reducing 7% of the shares in issue from ZAR 221 million to just approximately ZAR 207 million. The closure of Cato Ridge Works and Alloys, disposal of assets of Assmang and Assmang's interest in Sakura, those are some of the corporate actions that the team has been doing. In closing from my side, just a focus on ARM's key focus areas. What are we doing? I mean, decisive actions on underperforming assets, that including the decision that we have just made on Bokoni. The decision that we have made on Nkomati, exploring alternative options to make sure that there's no call from the -- cash call from the center and both the Cato Ridge and Sakura closure and divestment. Disciplined capital allocation, making sure that we allocate capital based on competitive margins and returns. And if you look at the year-on-year performance on CapEx, you would see that certain prudent decisions were made to make sure that we don't just spend for the sake of spending. Defer capital expenditure where appropriate. And lastly, just making sure that we continue to pursue value-enhancing growth opportunities, and that increase of our stake in Surge is a testament to that. The chrome recovery washing plant, looking at alternative revenue enhancement measures is what we are exploring across all our business. Sustainable value creation for stakeholders and various corporate actions, and we will continue to really explore and exploit any opportunities that will really enhance value and unlock value for our stakeholders. Thank you very much. I'm going to hand over to Tsu.
Tsundzukani T. Mhlanga: Thank you, everyone. Chairman has asked that I recognize some of our partners that he didn't also mention before in addition to [indiscernible]. So we just want to formally recognize Sumitomo, Valterra Platinum as well as Implats. Thank you so much for joining us. In Glencore, apologies, in Glencore at our [indiscernible] operations. So when we look at our capital allocation guiding principles, during the year, we prioritized investing in our existing business, and that was in the form of sustaining capital expenditure or what others call stay in business capital expenditure. And we spent approximately across the group on an attributable basis, ZAR 2.4 billion -- ZAR 2.5 billion. And now when we look at our capital allocation, we then actively seek to also grow our existing business in addition to looking after our existing business. And we make sure that we pursue acquisitions that make sense for ARM. So what was different this year compared, I think, to a number of years, I think the last time we did this was back in 2020. As mentioned by Phillip, we completed a share repurchase program where we bought ZAR 500 million worth of ARM shares at an average price of ZAR 154.27. And those shares we subsequently canceled and delisted. So we're always on the lookout for those opportunities and ensuring that we return capital to shareholders, whether in the form of dividends or share buybacks. Now how we look at opportunities when they come across our table. We look at a number of metrics or measures before we decide on which project to pursue. And those include, and this is not an exhaustive list. We look at the payback period. We look at the maturity of the project. Obviously, brownfields are better than greenfields, so that's always prize #1. But then we also look at the return on capital employed as one of the things that are paramount. So I think in terms of capital allocation, and I think Chairman has already mentioned it, I mean, we remain committed to declaring dividends and returning capital to shareholders, which I think we have demonstrated, particularly this year and in prior years, but this year in the form of the ZAR 6 final dividend in addition to the ZAR 4.50 interim dividend as well as the share repurchases that we have completed during the year. This slide just shows how we generated cash and how that cash was allocated during the year ended 30 June 2025. So in terms of the operations, we generated ZAR 45 million, and this was a decrease of 97% compared to the corresponding period. So in F2024, that amount was circa ZAR 1.8 billion and also takes into account an increase in the net working capital of ZAR 1.2 billion. If we look at the next block, you see there are ZAR 4.9 billion in green. So included in that amount, we received ZAR 4.5 billion in dividends from our Assmang business, which is ZAR 500 million lower than the dividends received in the prior corresponding period. During the period, we also received dividends of ZAR 192 million and ZAR 240 million from our investment in ARM Coal and Harmony, respectively. In terms of how we actually applied these funds during the year, so we invested, as I mentioned earlier, into our business in the form of capital expenditure, ZAR 2.7 billion, and that was the largest outflow. However, if you compare it year-on-year, this was a decrease of ZAR 3.6 billion. Now the majority of the spend during the year was for stay-in business capital totaling about ZAR 1.8 billion, with the spend being on mining development and infrastructure on -- infrastructure-related capital expenditure at TRP as well as normal capital expenditure at our other operations. Just another highlight is that in terms of outflow, we paid dividends totaling ZAR 2.6 billion to ARM shareholders during the period, which is 25% lower year-on-year. If we look at our net cash position, total borrowings increased by ZAR 906 million during the period to a balance of just over ZAR 2 billion as at the end of June 2025. The increase was due to a revolving credit facility of ZAR 1.75 billion and term loan of ZAR 1.25 billion taken out by Two Rivers to complete the Merensky project and also to finance other essentials. I think despite that loan funding that was taken out, ARM still has a relatively low interest-bearing debt and closed the year at a net cash to equity position of 11%. And then just to mention that the net cash that we show there of ZAR 6.6 billion excludes the attributable cash sitting at Assmang of ZAR 3.6 billion as at the end of June 2025. So the capital expenditure for the reporting period was covered by Phillip in each of the divisions sections. Some things that you could note. So segmental capital expenditure on an attributable basis was just over ZAR 4 billion, so that ZAR 4,020 million that you see there on the screen for the year under review, which is ZAR 4.5 billion lower than the prior corresponding period. Most of this was spent as follows. So we spent ZAR 2 billion at our ARM Platinum operations, ZAR 1.8 billion at our Ferrous operations and ZAR 275 million at our ARM Coal operations. And just to note that the ARM Ferrous capital expenditure includes capital waste stripping costs of ZAR 848 million on a 100% basis. If we compare that to the prior corresponding period, that amount was ZAR 1.3 billion. Apologies, just forgot something quickly. Just in terms of the guidance for the ensuing years, you'll see that the guidance for F2026 shows a marginal increase of ZAR 173 million, and it now has increased to ZAR 4.5 billion, and that's relative to the ZAR 4.4 billion that we had communicated at the March results. Now CapEx for F2026, '27 and '28 includes approximately ZAR 4 billion of normalized sustaining capital expenditure per annum with capitalized waste stripping costs at our iron ore operations expected to increase to about ZAR 1.5 billion on an attributable basis. Thank you very much. We will then move to questions.
Patrice Motsepe: You're going to take over now. There are questions. I think what we should do is take questions from the floor and then we'll give a mic and then we'll take questions and you lead us on the questions, a few things I want to deal. Just give a mic quickly and we'll take questions from -- and take questions from -- can we have questions here quickly? Martin Creamer, who else? And I see another hand there. Okay. Can we write on the questions and deal with them and then I'm going to ask Thabang to lead with the global -- with the questions offline. Martin, can we start with you?
Martin Creamer: I just want to refer to decarbonization at this stage. Initially, when you decarbonized with platinum, you built the solar yourself, and that's coming in, in next year. Now that you've looked at it again for ferrous, you are wanting to buy it out. So there's a different approach that you're going to get from IPP. That's my first quick question. The second one I ask is I'd be great if you please provide an update on the narrow-reef boring technology that ARM has planned for Bokoni and also the tunnel boring that proceeds that. And then finally, an update on the research and developing energy-efficient smelting, SmeltDirect technology on which investments have been made in the Machadodorp.
Patrice Motsepe: Brilliant, brilliant questions. And you will deal with -- Andre will deal with Machadodorp and Phillip, you and Mike will deal with some of the questions you asked. Just write them down. Okay. Next question. Thank you. Just introduce yourself and which company you're from.
Brian Morgan: Brian Morgan from RMB Morgan Stanley. Three questions from my side, if I may. Just on Bokoni, could you just give us an update on how much you expect to spend just CapEx or OpEx whatever it is over the next 12 months at Bokoni? And coming to feasibility, you say you come to feasibility in 2026, assuming that's bankable and it's approved, what would we be looking for 2027? Would the CapEx start immediately and the project get going at that point? And then I don't want to get too deep into the retail, but see just on the tax treatment with this impairment, it's a big part of the earnings miss here. So I just want to get an understanding of what actually went on there but I don't really understand it myself. And then sorry, just back to a project question. Merensky, you developed 2 levels of the project, 2 is Merensky. I think you said in the past, you need 5 to get going there. Just an idea of how much CapEx would be required to get Merensky up and going?
Patrice Motsepe: Excellent questions. Mike, you will deal -- Mike? Yes, you and Phillip, and I think Johan may want to add as well later on the Bokoni. Tsu, you will deal with the impairments. Brilliant questions, okay? Other question there?
Thobela Bixa: Thobela Bixa from Nedbank CIB. Some questions, one on the PGM assets. We see that your guided volumes for Two Rivers and Modikwa continue moving lower over the number of years. Could you just take us through as to what the thinking is behind the lower numbers? And then on the CapEx, so could you just explain as to -- or give us a breakdown because you're no longer spending some CapEx at -- for [indiscernible], but your CapEx still continues to increase. Maybe just give us a breakdown as to what is -- what are some of the cause for the CapEx increase over the years?
Patrice Motsepe: Brilliant questions. Phillip, you and Mike and Johan Jansen will deal with some of those questions. I saw another hand here. No other questions on this side? Questions on this side? Sorry. Any other questions? Okay. All right. Okay so Phillip, do we start with you? Have we got a mic with you [indiscernible] you've got you up properly.
Phillip Tobias: Thank you very much. Thank you for those questions.
Patrice Motsepe: Then later Thabang will help us with the questions online.
Phillip Tobias: Thank you very much, Chair. Thank you for those questions. I mean I'll start with the Two Rivers Platinum Merensky question. I mean the question was asked, how much capital basically is still outstanding for us to really ramp up to full production? So when we stopped, we had already developed and opened the ore body up to 3 level of the 5 levels. So we still need to do Level 4 and Level 5. But of the 3 levels, only Level 1 and 2 are currently equipped. And you remember that when we put that mine on care maintenance, we had already done some wet commissioning. So we know that the concentrator basically works. So approximately, it will require about ZAR 2 billion to complete the Merensky project, and that will be spent most probably within a period of about 24 months. And just moving into the question about the PGM guidance that it seems as if there's basically a downward trend. I mean this takes into account the geological challenges that we have experienced at Two Rivers. As we mentioned that there were quite a lot of geological structures that we went through. Phase and flexibility was a challenge, but pleasing to mention that, I mean, we had been able to negotiate beyond the South to fall block, and we have exposed basically half a level included into that. And we've increased our redevelopment with an intent to create and improve the phase length flexibility, especially mining the higher portion of the Speed Riff. So with Modikwa, we have one of the actions that we took was to shut down South 1 shaft because it was loss-making and subsequent to that, we replaced the UG2 production with South 3 open pit mining. And that is basically ramping up to the volumes of about 50,000 tonnes per month, just to make sure that we basically fill up and sweat our installed capacity at Modikwa. So and that will be taking place for the next 6 to 8 years. And maybe I can ask Mike just to talk on the Bokoni CapEx, and then I'll hand over the tax question to Tsu on the impairment.
Patrice Motsepe: No, no, no. Mike, I want to be last. And Mike, after Mike, I want to go to Johan Jansen and Thando and then Andre Joubert on the ARM Ferrous and [indiscernible] and then Tsu will be -- will deal with the impairment. Okay, Mike?
Unknown Executive: Sure. I can start with Bokoni, but I'd like to go straight back on to [indiscernible], if I may. The Bokoni investment was premised on full mechanization going forward, premised on where we see the price and the outlook, we decided to curtail some of that development and focus really on the primary waste and opening up the ore body. So the capital will go down over the next year relative to what we saw this year, and there were 2 gentlemen that asked that. And most of it will be on the primary waste development. The indications of this year is just over ZAR 1 billion of capital, and that's the type of expenditure we see over the next 3 years. And obviously, that then subject to Board approval on the full feasibility, which we present towards the end of the year. The capital that's gone into the mine is to reestablish the mine from what was historically a Merensky to UG2. We've, in that period yet commissioned a 60-kt plant. We've also built and commissioned the chrome plant. We've also put down a decline shaft right into the ore body to concentrate all the ore from 1 shaft instead of the historic 3 shafts and then to focus as of now on the UG2 development. It's still the preferred grade and the preferred ore body with the preferred returns. We anticipate within the next 3 years to recommission the 60 phase up to 120 and ultimately phase back to 240. I think that really covers the Bokoni issue. Martin, if I can come back to you on the narrow-reef cutting and come back to you on the tunnel boarding. So the test work on surface, all the trials have gone through rigorous processes of surface cutting, various grade densities and hardnesses on concrete slabs, performing exceptionally well. In the meanwhile, we've gone ahead and reestablished a complete new site for the underground trials. That's far advanced. The site establishment is done. The portals are ready. We're busy taking up electric cables. We will start commissioning mid-November. And by March, we'll be very well advanced with the cutting that's the tunnel boarding. And in March, the narrow-reef cutting follows through in March, and then we will probably go for a final commercialization or commercial decision by June next year. But it's going exceptionally well. It's meeting and beating all of our expectations. So I'm very confident that we'll deliver on those 2. Thanks, Martin.
Patrice Motsepe: Thank you. I think let's go to Andre. Andre Joubert?
André Joubert: Martin, thank you for that question. I think on the -- I'm going to start on the ARM Ferrous or [indiscernible] side in terms of the solar process, where we completed a bankable feasibility study to build our own solar plant at our operations. But there's still too many questions to answer about the potential legislation and how Eskom is going to react now that everybody is building their own site, which I mean to be fair to Eskom can only supply electricity during the day and then Eskom is going to still supply the power during the night. So in that transition phase, there's still uncertainty how Eskom is going to change their tariffs. And because of that, we decided to delay the installation of our self-built solar plant. And the IPPs have also come up now -- come forward to shorter-term contract. You don't have to enter into 20-year contracts with them anymore. So you can do like a 3-year contract or a 5-year contract. And that's what we're going to do. So basically to [indiscernible] time, literally to [indiscernible] time while still saving on our electricity costs and reducing our carbon emissions so that we have more clarity on the legislation and the tariff structure of Eskom into the future. So that's why we did what we did in that regard. In terms of the SmeltDirect Technology, I just -- if I may correct you in the public forum, it's not R&D anymore. So we've gone way beyond that phase now. And we've actually completed the full unbankable feasibility study on making ferrochrome at [indiscernible] Gold works. And at this stage, we are engaging with various partners in terms of partnering with us in terms of commissioning such a new plant or commercializing our new technology, which saves for everybody who don't know, which saves more than 70% of electricity consumption if you want to produce the same amount of ferrochrome alloys. And it also reduces your carbon emissions by about 60%. So it's really -- and it puts you on the bottom of the cost curve. So we're doing a lot of work. We're engaging with other chrome producers. We're engaging with the IDC and also with the various parties abroad in terms of commercializing this technology. But it's going to take quite a lot of effort because, I mean, you've read in the newspapers, chrome smelters are now shutting down one after the other. We ourselves has cut our ferromanganese production, the last person left site at the end of August. So I think there's going to be a huge level of cooperation from an industry level and from government level that we can revigorate industrialization and smelting in South Africa. And another positive thing that we picked up from this research that we've done is that there's also a very good application for this technology in terms of producing green steel, and we are even engaging with major steel producers at this point in time to advance that process. So it's very encouraging, and we're making very good process, but not ready to announce a project at this stage. Thank you.
Patrice Motsepe: Thank you. For some weired reason, I thought Thando is still actively involved in Modikwa, so as -- Johan can you deal with those platinum issue and Thando will comment on the excellent work that he's doing in Thando. Thando, you'll talk after Johan Jansen [indiscernible] coal, and Nkomati as well. Johan?
Johan Jansen: TThank you, Chair. Good afternoon. In I can start with Bokoni. Previous speakers rightfully mentioned that Bokoni is an exceptional ore body. You're looking at grades in the region of 2 grams per tonne higher than the other operations in the area. Now what we've done is Mike mentioned, we stopped the mechanized development. We moved that equipment across to the conventional development. And with the development that had been done on the conventional section before our purchase of Bokoni, we really moved directly into starting, physically doing development. We've been at it for the past 2 months. And I'm pleased to say that we have a good team on the ground and that we are achieving the development advance rates that we're planning. In addition to that, we've also put down a new decline system, the decline cluster, which we call Cliphut. Cliphut is in close proximity of where we are currently developing. And one of the constraints that had been in the UG2 mining section was the fact that the conveyor belt going to surface through the existing tunnels had been limited to about 60,000 tonnes a month. Now equipping Cliphut with a conveyor will give us the capacity to do 240,000 tonnes a month. There's also a drive through towards the eastern side, so we can very quickly start up a second cluster of declines. I'm not going to share firm numbers. We're still busy with the feasibility study, but initial indications are really very positive for the future of Bokoni. Looking at Modikwa, you are correct in observing that the volumes has dropped. We've fixed it. We started up the Merensky project. Now Merensky typically does not come with the same grade as UG2, but we've put in a lot of effort to reduce the sloping heights in the Borden pillar section. We've also introduced conventional proves, which is giving us a much higher grade in the Merensky section. So we're doing about 50,000 tonnes a month from the Merensky section at very good cost. Then we opened up the open cost section, open pit mining, initially closer to the mine on the -- just on the southern side of the mine. We've recently moved to South 3, where we've got a huge reserve that would probably last us for about 8 years, going only to a depth of about 50 meters. That will increase, but we're looking at fairly good grades and the recoveries is also good. So the open cast works for us. Two Rivers, we had challenges with geological intrusions. We've put 3 additional crews in at Two Rivers, had been doing redevelopment for about a year, and we're also now starting to see the impact of the redevelopment at Two Rivers. So I'm very positive about improvement in the ounces from both Two Rivers and Modikwa and delivering a successful feasibility study at Bokoni. Thank you, Chair.
Patrice Motsepe: Thank you. Thando?
Thando Mkatshana: Thank you, Chair. I think the questions related to coal on Nkomati haven't come up yet. Yes, absolute. We will wait for those questions to come if there are any.
Patrice Motsepe: And how are things going at Nkomati?
Thando Mkatshana: Yes. To an extent that Phillip has covered in his presentation Nkomati, we're really quite pleased that now we've got full control of that asset. It simplifies decision-making and the strategic direction. At this stage, while we're finalizing some of the options, we've already recommissioned the chrome plant, chrome washing plant, which we're going to treat stockpiles. As Phillip highlighted, we've got 500,000 tonnes of stock sitting there. The production coming out of that will be in the range of 6,000 to 7,000 tonnes a month of chrome. And given the fact that it is coming from the stockpile, it will be a very low-cost production. We are forecasting in the range of about ZAR 180 to ZAR 200 per feet ton, giving us about 700 ton, just under 900 tonnes of chrome produced. So those are the numbers that we are looking for at this point. Obviously, when we finalize our feasibility and the options that we are looking at, we'll be able to give more color to the market.
Patrice Motsepe: Thank you so much. I'm trying to quickly go to closure, take those questions. And of course, two is still coming. And because I've been getting some notes that some of the people here want to ask more one-on-one questions when the media briefing has ended. And the whole team will stay behind for as long as required. And then thereafter, I think Phillip and others will go to the questions on TV and other broadcast. Tsu?
Tsundzukani T. Mhlanga: Thank you very much, Chair. So I think just to address Brian's question on the Bokoni impairment. So you asked on the tax impact. So there was no tax impact on the Bokoni impairment loss. And the reason being is that Bokoni hasn't had tax expenses due to it being in a loss position. We do, however, have a deferred tax asset related to Bokoni and it arose on acquisition where we recognize some of the taxable benefits that were residing within Bokoni when we bought or when we acquired Bokoni. In terms of that deferred tax asset, we expect to utilize it over the short-to-medium term. So we're looking at a period of circa 5 years in order to realize that.
Patrice Motsepe: Thank you. And if you want further information, Tsu will be around. How many questions have you got Thabang? Yes. Okay. Because I want to take as much as we can, deal with it and close the media. And as I said, you and the team will be meeting and you stay behind and deal with any private and direct questions that may require further information. Please proceed, Thabang.
Thabang Thlaku: Thanks, Chairman. So the first question we have on the webcast is from Shilan Modi from HSBC. He's asking regarding PGM prices, where do you think is the incentive price in rand per 4E ounce?
Patrice Motsepe: The incentive price?
Thabang Thlaku: Correct, Chairman.
Patrice Motsepe: Incentive price.
Thabang Thlaku: That's correct.
Patrice Motsepe: I don't know what that means. But anyway, yes, I assume it means the price at which it makes sense for us to continue.
Thabang Thlaku: To invest.
Patrice Motsepe: Exactly.
Thabang Thlaku: Correct. So the incentive price to sustain old shaft? And where do you think that incentive price is for new projects? His second question is...
Patrice Motsepe: So Phillip, you will take the first one. Thank you.
Thabang Thlaku: The second question is, given your ambition to build a large Bokoni mine, what returns would you anticipate from the project at spot PGM prices? Given that we are still in DFS, I think we will be able to come back to the market later once we've got the results from that?
Patrice Motsepe: Very good question. Mike, you will take that? Mike, did you hear that question?
Unknown Executive: I did not.
Patrice Motsepe: He didn't. For Mike, can you just repeat that, please?
Thabang Thlaku: The question is, Mike, given your ambition to build a large Bokoni mine, what returns would you anticipate at current spot prices?
Unknown Executive: Now that sound came so nicely.
Patrice Motsepe: Let's keep it on. We want the good things to continue, please. What other question have we got?
Thabang Thlaku: We've got 2 questions from Warren Riley from Bateleur Capital. He's saying, please update us on the Two Rivers Merensky project. What production will be targeted? So I think questions around CapEx have already been asked, but he's asking about production, unit costs and cash margins. And his second question is, what options are there around Beeshoek? Can in time -- sorry, in time, can you export Beeshoek output as [indiscernible] turns around
Patrice Motsepe: Okay. So you will take the Beeshoek. Andre and then Mike, you will, Mike because they are related, you will deal with his first question, okay?
Thabang Thlaku: And then Chairman...
Patrice Motsepe: Phillip, you can add on to that, yes.
Thabang Thlaku: We've got a question from David Fraser at Peregrine Capital. At spot prices, it appears that coal must be close to being loss-making. What action are you taking to avoid cash burn in this business?
Patrice Motsepe: Okay. Thando?
Thabang Thlaku: And then a question again from Shilan Modi. Do you still think Bokoni would be a second quartile producer on the cost curve? And would this mean that it would be in the third quartile after accounting for the POC agreement? Chairman, that's it for now.
Patrice Motsepe: Thank you. So that's it because we're going to close that, okay? And we'll deal with -- and all the questions that they have, they can contact Thabang and as always, and we'll answer them. Can we start with you, Phillip?
Phillip Tobias: Thank you very much for the question. The question that was asked was the incentive price for the breakeven. I mean for the old shaft or old operations, the PGM basket price of ZAR 850,000 per kilogram, it's basically what we require, which is about -- works out to about ZAR 22,000 per ounce. And that is basically inclusive of your stay in business capital as well. And to go to major CapEx, you would want at least an incentive price that is 30% higher than that at about ZAR 1.1 million per kilo. And you remember that when we made a Bokoni investment decision, the prices were actually hovering around ZAR 1.1 million, ZAR 1.2 million per kilogram. And then the question was asked about Two Rivers to say what sort of production profile are we looking at? You remember that the Two Rivers Merensky project, it's a 200,000 tonnes per month project. That is going to be a step change to increase the production from current installed capacity of 320,000 tonnes per month to 500,000 to 520,000 tonnes. And the rationality, remember that we had transitioned to a split reef, which is actually lower than the original reef that was mined. So it's going to basically be transformed into high-volume, a high-margin asset to really dilute your overhead fixed cost and make sure that it remains in the cost in the second quartile of the industry cost curve. The question is asked about Bokoni. Is Bokoni going to be a second quartile of that? The studies are currently underway. Our investment thesis is we want all our assets to be in the second quartile of the industry cost curve. And with that, it's going to enable us to weather all the storms that comes our way. I mean we've just been through a tsunami now in the past 2 years on the PGM. So we want our operations to still have a margin even when the prices go down. So the studies the options that will really be evaluated and assessed, we'll have to make sure that we do that. And new technology -- appropriate new technology is also being considered as Mike has already alluded to that, and we'll come back at the right time.
Patrice Motsepe: Mike?
Unknown Executive: Yes. I think Phillip actually addressed the questions you've asked me too, but I want to make just a comment. There was a gentleman that asked it appears on our PGM outlook that we actually continue to go down. And whilst that is reflective, remember, those numbers are only based on what has been approved, budget approved numbers without the work that's been done. Subsequent to this report, we've already got approval to continue expanding on the Modikwa and getting that and Johan's elaborated on that. And Two Rivers, Phillip just elaborated on what's going to happen. It is obviously subject to Two Rivers Board, and that is imminent with our partners. There's absolutely no reason why we won't beat the forecast this year and going forward is to improve the outlook of the PGMs, and I exclude Bokoni out of that. Definitely, Phillip made a call, when we looked at Two Rivers Merensky at the time and put it on impairment, we went in with assessed prices of about ZAR 750,000 per K and today, the Merensky is touching on ZAR 900,000. And on the UG2 Bokoni, that -- all that feasibility work was done and approved at ZAR 240,000 on ZAR 740,000 per K and it's over ZAR 850,000. And I'm talking realized price. So it may not be the number you're looking at, Brian, but these are realized prices that we work with. So the current outlook is very, very positive. And there's absolutely no reason combined with some of the technology that we are putting in place, which I've touched with Martin that we can't see that even in an environment when there's no absolute long-term certainty of our PGMs, we will reposition our businesses below the 50th percentile and stay very relevant into the future.
Unknown Executive: Thank you, Chair. Yes, no, it is correct really that the current prices of coal do put pressure on the operations. However, I think one thing that perhaps today, we haven't touched on is the improved performance of TFR. That gives us a huge opportunity to be able to move and export more volumes, and it will increase our revenue generation. We do have that flexibility at GGV. If you look at the performance of GGV, we dropped the production because of the limited logistic capacity as we stopped tracking. Now with the performance of TFR, we'll be able to move more volumes. Secondly, then at the mines themselves, we are reviewing our capital spend, particularly to preserve cash and as well in terms of looking associated with the increased volumes, looking at areas where we could expedite the increase in the mining, particularly GGV. GGV is sitting quite well, being a low-cost operation. I think it will give us good flexibility in there. Thank you.
André Joubert: I'll deal with the Beeshoek matter, and that's very unfortunate and sad. But Beeshoek is -- or let me rather say, and it's in the public domain that AMSA is Beeshoek's only customer. So AMSA made the announcement that they're going to shut down their Newcastle plant and there's some other challenges they have at the Newcastle at the [ Fenabel Park ] plant. So since the 27th of July, we haven't delivered any ore to AMSA and that -- and we're also in the situation that we could not renew our 3-year offtake agreement with AMSA. And because of that, we cannot continue with our operations at Beeshoek and as was said previously, we initiated very sadly Section 189 process, which during this last month. And of course, we looked at various other options. But unfortunately, with Transnet and the export capacity of Transnet, if you looked at our forecast for iron ore exports, you will see that next year -- this year that we're in now, we went from 12.3 million tonnes to 12 million tonnes. So we cut back even what we had by 300,000 tonnes. And that's because Transnet is going to do 2 periods of where they stop the line and they do the maintenance work during those periods. The first period is now going to be in October and the next period will be early next year. So typically, there's a 10-day shutdown period. Now it's going to be double that, and that is impacting our output. So there is -- so Khumani Mine, which is actually a 14 million tonne mine is already reduced to 12 million tonnes. So there's no ways that we can take additional volume through from Beeshoek. So we are exploring various options. But unfortunately, none of these options delivered economically viable results. And therefore, we're going to go through the Section 189 process. And as I said, we've started with that process, and it's going to impact the lives and livelihood of about 660 direct employees and about 400 contractors. So -- and that is unfortunately the state of the play at this point in time.
Unknown Executive: Thank you, Chair. Chair, what we -- our key priority at this stage on all 3 of the mines is safety, health, sustainability. So there is a very big drive on making certain that people do not get injured in the mine. Secondly, we're building relationships with the communities. So we need to foster that culture of working together to make the success of the mines. Then the focus is on quality of work, excellent operations, achieving the best grades, cost management and quite frankly, we project managed the living daylight out of everything we do. And that's going to give us the results going into the future. And lastly is the enabling fractors, equipping of [indiscernible], extension of conveyor belts, making certain that we put people in a position where they can actually deliver on our commitments. Thank you, Chair.
Patrice Motsepe: Okay. Thank you. As we go towards closure, just 2 quick remarks. This press conference has been about ARM, has been about the commitment that we've always had to make sure that African Rainbow Minerals is world-class and globally competitive. And we've always recognized that it's important for African Rainbow Minerals and the mining industry to operate within a country where there's very good partnerships that are built with the communities that are near our mines and with all stakeholders and essentially with the workers. And the perception of South Africa as a globally competitive investment destination is critically important. We need investors in South Africa to invest in the mining industry, but we also need to persuade, to convince investors outside South Africa to see the mining industry and the mining companies, not just African Rainbow Minerals, but others as well to be competitive investment companies. So why I'm mentioning this because it's very, very important as we go towards closure. I have always recognized my role and the duty I have over many years. I was President of the coming together of Black and White business and part of that was the enormous obligation that I have and those who worked with us to make sure that South Africa as a country is a good place for investment. But at the heart of that was creating jobs, at the heart of that was creating a future, ensuring that there's security, ensuring that -- and security entails we want people to be safe and more importantly, zero tolerance of crime. Now it's easy for people like myself to stand by the sideline and say, those are problems of the government and those who are in power and please don't burden me with those responsibilities. And we've never had any doubt. I've had never any doubt that I have an enormous obligation -- an enormous obligation to the people of this country and to South Africa. And it makes me proud when I meet with some of the top businessmen in the world. I was in New York a few weeks ago, and you meet the CEOs of the largest companies in the world, the largest in the world, and they engage with their government to build an environment that is good for business, but also the proven way to create jobs and to improve the living conditions of people worldwide is to make sure that the private sector finds your country as a good place, a competitive place and an attractive place for investment. Now why do I, towards closure, say some of these things? It's simply because many, many years ago, I get asked all sorts of questions in relation to what my plans are long term. And of course, there's no doubt about what my plans are in relation to the obligations I have in African Rainbow Minerals, and we will continue. That's a huge priority and the various other companies that we have and the good work that's been done via the philanthropy. But I was a bit taken back when and this issue has been raised consistently that I somehow have turned my back against the country. And of course, I'll never turn my back against the country. But I think this is because of people who -- when you go into detail, it relates to something I said many, many years ago. And I was [indiscernible], somebody gave me a seperate [indiscernible]. [indiscernible] quoted on [ 702 ] what I said 20 years ago. 20 years ago, they asked me, are you ever going to get involved in politics? And I said politics are for mad people. Now of course, I can't say that loud. And they asked Tokyo, and I forgotten I said that, but it is correct. What is correct is not that they are mad people, but that I said that because there was a whole lot of issues that were raised. So Tokyo said that I remember many years ago when he was President of [indiscernible] because part of my duty was to bring Black and White together. And we formed -- I was the President of Black business because they came and asked me to be President of [ NASCO ] and President of Black business. And part of the issue was to bring together, unite business, to unite all South Africans. And end the all of these questions. But -- so this issue that I somehow -- and of course, a few years ago, the editors of the major newspapers asked me the same thing. Are you at some stage going to get involved in politics? And my answer was always, in order for me to make my contribution, the enormous contribution, in fact, the enormous duty I have to the people of this country, I don't have to get into politics. But the issues, as I said, I have somehow turned my back and all sorts of things are being used that betrayed, which is not correct. I will continue, as we have in the past, work together with all political parties across the board. We've been privileged as a family to donate to all political parties. And those who criticize and I say to them at times, I will not give you -- you don't need my money. They all don't need my money. But the ones I sometimes say to them jokingly, if you stop criticizing me, I will not give you money at all. And they continue to do what they have to do. This country has got some really exceptional people in business, but also in politics. And we have to support and work together and encourage those who really are committed to building this country. And as I said, I'm so proud of some of the top businessmen and some leaders, some religious leaders, I have the privilege to work with the traditional leaders, the kings who recognize that, of course, everybody has to do what they do in their respective responsibilities, but also to try and unite our people, to try and work together to try and make this country a better place. So as I said, I will continue to engage and to work together and make my humble contributions to all of the people of South Africa. And there's another brother of mine. We need to unite all South Africans from all political parties, of course, within the ANC as well, the ANC is Mandela's party, I grew up in that party and but the fact that I grew up hasn't prevented me from working together and donating to others, and I'll continue to do so. I've got a brother who said that politics is not about football. He is my brother, they're all my brothers. And I'm told [Foreign Language]. So when you say [Foreign Language] it means what he said was correct. It's the truth. And whoever is elected by the ANC, I will support as I have in the past. And as I said, I will work together with all other political parties. And the people of this country are special people. So it's easy to stand by the sideline and say those problems have got nothing to do with me. I will continue. My family is in comfort and we are okay. That's not who we are. That's not how we were brought up. And that's not what we've done over the years, and we will continue in our own humble way to work together with everybody. This country has got exceptional people. And I'm confident that despite all the problems, and there are serious problems, and there are huge problems. But this country has got exceptional people, and we will succeed. Thank you very much, and we'll stay behind and deal with whatever question. Can we clap hands for the people who made their presentation. Thank you. So the team is here, engage, ask all of those individual and private questions that are required. Thank you so much.